Operator: I would like to welcome you to Adobe Systems First Quarter Fiscal Year ’15 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would like to now turn the call over to Mr. Mike Saviage, Vice President of Investor Relations. Please go ahead, sir.
Mike Saviage: Good afternoon and thank you for joining us today. Joining me on the call are Adobe’s President and CEO, Shantanu Narayen, as well as Mark Garrett, Executive Vice President and CFO. In the call today, we will discuss Adobe’s first quarter fiscal year 2015 financial results. By now, you should have a copy of our earnings press release which crossed the wire approximately one hour ago. We’ve also posted PDFs of our earnings call prepared remarks and slides, our financial targets, and an updated investor datasheet on adobe.com. If you would like a copy of these documents, you can go to the Investor Relations page and find them listed under Quick Links. Before we get started, we want to emphasize that some of the information discussed in this call, particularly our revenue, subscription and operating model targets, and our forward-looking product plans, is based on information as of today, March 17, 2015, and contains forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the Forward-Looking Statements Disclosure in the earnings press release we issued today, as well as Adobe’s SEC filings. During this call, we will discuss GAAP and non-GAAP financial measures. A reconciliation between the two is available in our financial targets document and in our updated investor datasheet on Adobe’s Investor Relations website. Call participants are advised that the audio of this conference call is being webcast live in Adobe Connect and is also being recorded for playback purposes. An archive of the webcast will be made available on Adobe’s Investor Relations website for approximately 45 days and is the property of Adobe. The call audio and the webcast archive may not be rerecorded or otherwise reproduced or distributed without prior written permission from Adobe. I will now turn the call over to Shantanu.
Shantanu Narayen: FY15 is off to a strong start. In Q1, we reported revenue of $1.109 billion and non-GAAP earnings per share of $0.44. We achieved solid growth across our Creative Cloud and Marketing Cloud businesses, and delivered a new wave of product innovation. In Digital Media, Creative Cloud continues to be the preeminent destination for creatives around the world, enabling them to work seamlessly across desktop and mobile devices. While the desktop applications continue to be the foundation of Creative Cloud, 50% of Creatives are using mobile devices in their creative process. Over 30 million mobile apps have been downloaded, including capture apps like Adobe Brush and Shape, as well as desktop companion apps for Photoshop CC and Illustrator CC. Over 5 million new free subscribers were acquired through our Creative Cloud mobile apps since MAX in October. We celebrated the 25th anniversary of Photoshop last month and were blown away by the tremendous response from customers, partners and the press. Photoshop is one of the world's most iconic brands and has had a profound impact on every form of design and media, from animation to photography to film to web design. Through consistent innovation over the span of two and a half decades, Photoshop has stayed fresh and relevant and is now attracting a new generation of fans. We continue to successfully migrate the Creative Suite installed base, as well as bring new customers into the community. In Q1, Individual and Team adoption grew by 517,000 to over 3.9 million subscriptions. This represents 28% year-over-year growth in net new subscriptions. Creative Annualized Recurring Revenue or ARR grew to $1.79 billion exiting Q1. Delivering on our promise to make Creative Cloud the one-stop shop for creatives, we closed the acquisition of Fotolia in January. Stock content is a part of an incremental $4 billion of addressable market for Adobe. 93% of stock content sellers and 85% of stock content buyers use our tools. Work is underway to integrate Fotolia into Creative Cloud, providing current and future Creative Cloud members with the ability to access and purchase over 35 million images and videos within the Creative Cloud experience. We will also continue to operate Fotolia as a standalone stock service, accessible to anyone. With seamless integration, we believe we can increase Creative Cloud ARPU over time, as well as grow Adobe’s share of the stock content market. In Document Services, today we announced the Adobe Document Cloud, a modern way to manage documents at home, in the office and across devices. Adobe Document Cloud will include an all new version of Acrobat called Acrobat DC, which has an intuitive, touch-enabled interface and features revolutionary new mobile capabilities. For the first time, eSign Services, formerly Adobe EchoSign, will be included with every Adobe Document Cloud subscription to enable sending and signing from any device. Adobe Document Cloud will integrate analytics and capabilities to manage, track and control documents. Adobe invented PDF and it is the de facto standard in the documents category. We see a sizable opportunity ahead of us in the documents space to monetize the millions of existing Acrobat customers and hundreds of millions of Reader and PDF users. We plan to make Document Cloud available to our customers as both a perpetual and subscription offering within the next 30 days. It will also be available to our Creative Cloud subscribers as part of the full Creative Cloud offering. In Q1, we reported Document Services revenue of $193 million and exited the quarter with $297 million of ARR. Across our Creative and Document Services businesses, total Digital Media ARR grew to $2.09 billion as of the end of Q1. In Digital Marketing, reported revenue for Adobe Marketing Cloud in Q1 was $311 million, representing 17% year-over-year revenue growth. Last week, we held our Digital Marketing Summit in Salt Lake City, which has become the premier marketing industry event for marketing, media, and publishing professionals around the world. With over 7,000 attendees, Summit has become the biggest pipeline building event of the year. We introduced two new Adobe Marketing Cloud solutions, Adobe Primetime, the industry’s leading multi-screen TV platform; and Audience Manager, our fast-growing data management platform as well as new capabilities in Adobe Campaign and Adobe Analytics. We highlighted advancements in mobile marketing and app development, the extension of marketing intelligence into product design and Internet-of-Things, and the fusion of ad-tech and marketing technologies. Customers from some of the world’s top brands joined us on the keynote stage, including executives from Under Armour, Time Warner Cable, Girl Scouts of America, Starwood Hotels and Resorts, and National Australia Bank. Partners play a significant role in our go-to-market strategy and the ecosystem of companies who recommend, sell, and deliver Adobe Marketing Cloud solutions continues to grow. We announced a new partnership with IBM, which will provide specialized enterprise consulting capabilities for Adobe Marketing Cloud. We announced an expansion of the alliance with Accenture through the launch of Accenture Customer Engagements, a cloud-based managed service that simplifies the development, execution, and measurement of digital marketing. We have built two fast-growing cloud businesses and are well on our way to building a third. All three share a common goal of enabling our customers to make, manage, measure and monetize virtually every type of content. We are driving the future of digital media and marketing in a way that no other company can, and we are excited about our roadmap for the year. Mark?
Mark Garrett: In the first quarter of FY ‘15, Adobe achieved revenue of $1.109 billion above the high end of our targeted range. GAAP diluted earnings per share in Q1 were $0.17 and non-GAAP diluted earnings per share were $0.44. During the quarter, we closed the acquisition of Fotolia which contributed $7 million in revenue in Q1 and was not material to non-GAAP earnings per share. Highlights in our first quarter include, delivering revenue above the high end of our targeted revenue range; achieving 28% year-over-year growth in net new subscriptions to Creative Cloud; closing the acquisition of Fotolia, which when combined with other creative marketplace services we offer, increases our creative addressable market by $4 billion, Adobe Marketing Cloud revenue of $311 million and exiting Q1 with a record 70% recurring revenue. In Digital Media, we achieved revenue of $703 million. This segment has two major components of revenue, our creative family of products and our Adobe Document Cloud products. In our creative business, we exited Q1 with 3,971 million Creative Cloud subscriptions. Net new Creative Cloud subscriptions increased by 517,000 in Q1, consistent with our expectations given Q1 seasonality. Retention of Creative Cloud subscriptions, including renewals after promotional pricing expiration, continues to track ahead of our initial projections. Q1 adoption of Creative Cloud for teams grew substantially on a year-over-year basis, and we are building a healthy Enterprise Term License Agreement or ETLA pipeline. Average revenue per user, or ARPU, within each of our Creative Cloud offerings maintained steady levels, consistent with results over the past year. Blended ARPU across all Creative Cloud offerings declined slightly as a result of mix. As we discussed last week at the Financial Analyst Briefing at Summit, Creative Cloud Single Apps and the Creative Cloud Photography Plan are expanding our market opportunity through the addition of new customers, and create the potential for higher ARR in the future via ARPU-enhancing services such as Fotolia, and upsell to higher-tiered Creative Cloud offerings. Consistent with our expectations, creative ARR grew to $1.79 billion, an increase of $180 million quarter-over-quarter. As a reminder, we revalued ARR exiting FY2014 based on December 2014 currency rates. With Document Services, in advance of the Adobe Document Cloud launch, we achieved revenue of $193 million. Document Services ARR grew to $297 million exiting Q1. This ARR growth was driven by adoption of Acrobat ETLAs, subscriptions and Document Services including EchoSign. In our Digital Marketing segment, there are two components. The first is revenue from our Adobe Marketing Cloud offering, and our momentum as the leader in this market continued. Last week at Summit, we discussed growth with large customer engagements and multi-solution selling. Our announcements and the pipeline that gets built at our conference should continue this success in 2015. In Q1, we achieved Adobe Marketing Cloud revenue of $311 million, up 17% year-over-year and consistent with our expectations. The second component of our Digital Marketing segment is revenue from the LiveCycle and Connect businesses, which contributed $46 million in Q1 revenue, consistent with our expectations. Print and Publishing segment revenue was $49 million in Q1. Geographically, we experienced stable demand across our major geographies. From a quarter-over-quarter currency perspective, FX decreased revenue by $17 million. We had $24 million in hedge gains in Q1 FY15, versus $12 million in hedge gains in Q4 FY14. Thus, the net sequential currency decrease to revenue considering hedging gains was $5 million. From a year-over-year currency perspective, FX decreased revenue by $26 million. Considering the $24 million in hedge gains in Q1 FY15, versus $3 million in hedge gains in Q1 FY14, the net year-over-year currency decrease to revenue considering hedging gains was $5 million. In Q1, Adobe’s effective tax rate was 48% on a GAAP basis and 21% on a non-GAAP basis. The GAAP rate was higher primarily due to tax costs associated with licensing acquired company assets to Adobe’s trading companies. These one-time costs were partially offset by tax benefits related to the retroactive reinstatement of the U.S. R&D credit in December 2014. Employees at the end of Q1 totaled 12,698 versus 12,499 at the end of last quarter. Our trade DSO was 44 days, which compares to 46 days in the year go quarter, and 50 days last quarter. Cash flow from operations was $183 million in the quarter. The sequential decline from Q4 is consistent with previous first quarters since prior year annual bonuses and commissions are paid in Q1, as well as prepayments of certain employee fringe benefits for the current year. Deferred revenue grew to $1.18 billion, up 34% year-over-year. Our ending cash and short-term investment position was $3.18 billion, compared to $3.74 billion at the end of Q4. The primary driver of this decline was the acquisition of Fotolia which closed during the quarter. In Q1, we repurchased approximately 2.4 million shares at a cost of $174 million. In January, our Board of Directors approved a new stock repurchase program granting us the authority to repurchase an additional $2 billion of common stock through the end of FY 2017. Now, I would like to provide our financial outlook. In Q2 of FY'15, we are targeting a revenue range of $1.125 billion to $1.175 billion. Assuming the midpoint of our Q2 revenue range, we are targeting total Digital Media and Adobe Marketing Cloud revenue to grow sequentially. We also expect LiveCycle and Connect revenue, and Print and Publishing revenue to be relatively flat. During the quarter, we expect to add more net new Creative Cloud subscriptions and Digital Media ARR than what was achieved in Q1, and we continue to expect both to grow sequentially in the third and fourth quarters. We are targeting our Q2 share count to be 508 million to 510 million shares. We are targeting net non-operating expense to be between $15 million and $17 million on both a GAAP and non-GAAP basis. We are targeting a Q2 tax rate of approximately 24% on a GAAP basis and 21% on a non-GAAP basis. These targets yield a Q2 GAAP earnings per share range of $0.20 to $0.25 per share, and a Q2 non-GAAP earnings per share range of $0.41 to $0.47. We’re pleased with our performance in Q1, and we’re off to a great start for the year. Mike?
Mike Saviage: Adobe MAX will occur again in Los Angeles this fall during the week of October 5th. We will provide registration information later this summer. More information is available at max.adobe.com. For those who wish to listen to a playback of today’s conference call, a web-based archive of the call will be available on our IR site later today. Alternatively, you can listen to a phone replay by calling 855-859-2056; use conference ID number 94371293. Again, the number is 855-859-2056 with ID number 94371293. International callers should dial 404-537-3406. The phone playback service will be available beginning at 5 PM Pacific Time today, and ending at 10 AM Pacific Time on Monday March 23, 2015. We would now be happy to take your questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Brad Zelnick at Jefferies. Your line is now open.
Brad Zelnick: Thank you very much for taking my questions. Mark, you said the 517,000 Creative sub adds was consistent with your expectations, given Q1 seasonality. So this is very different than last year’s Q1 seasonality if we just look at subs. But can you maybe frame it for us in the context of total Creative units since obviously there is a lot less Creative perpetual revenue this year?
Shantanu Narayen: Sure. So let me also jump in a little bit on color for the quarter and then Mark can add to that. I think we’ve been telling you for a while that Digital Media ARR is really the best health for the business, and as you saw that grew to $2.09 billion. One of the things that I think we should also reflect is that, we offer customers multiple ways to acquire Acrobat subscriptions. And depending on the type of customer, this can get reflected in either the Creative subs and ARR Brad or the document ARR. So when you acquire Acrobat as part of CC offering whether it’s single app or complete, that’s reflected in the Creative ARR. And when you get it as part of the Document Cloud offering, the ARR is then reflected in the Document Cloud. And this is actually very similar to the way in which we offer the perpetual software when we had Acrobat as well as Creative Suite. So one of the things in the quarter was that as we contemplated the Acrobat mix changing, we experimented we’re driving more Acrobat in conjunction with the Document Cloud launch. So if you look at the Acrobat subs ratio in Q1, if they were reflected in CC subs similar to prior quarters, the Creative reported subs would have been significantly higher. And so I think a number of you probably had the mix different in terms of being over-weighted in CC subs and ARR since you guys were unaware of the experimentation we were doing in conjunction with the Doc Cloud launch. So when we look at the results that we had in Q1 overall, as it relates to Digital Media ARR and adoption of the Creative Cloud and Acrobat, that’s why we said it was very much in line with our targets.
Mark Garrett: I think the only thing I would add to that…
Brad Zelnick: Thank you. That’s actually helped.
Mark Garrett: The only thing I would add to that Brad is in Q4, we did have holiday promos, especially around photography to drive adoption in advance of the holidays. And in Q1, we really did not have any of that. So we didn’t have much from a promo perspective in Q1 driving units.
Brad Zelnick: That’s helpful. And if I can just slip in one quick follow-up. Mark, I think, you see it in the release or in your comments, but especially in light of Fotolia closing and the volatility in FX translation and the impact that that has, can you just remind us of your full year targets? Thanks.
Mark Garrett: Yes. Let me ask you since you brought up FX, let me talk about FX for a couple minutes because it is important. And there’s three considerations that you should consider as it relates to FX, right. One is revenue. Two is the balance sheet and specifically deferred revenue. And then the third is ARR, as it does impact ARR as well. So let me just walk through each of those. I think I have explained this over the years. We have a hedging program to hedge a portion of our revenue through a cash flow hedging program. So we have revenue and expense in euro, pounds, and yen, as you know and we hedge a large portion of that net position of revenue versus expense in each of those currencies by buying put options. And we hedge a few quarters out at any point in time and we have been doing that for years and you saw it worked very well in Q1 and Q2 -- in Q1 I should say. Because we hedge a few quarters out in a rate dropping environment, it was minimal impact to our revenue after hedging in Q1 and you saw that in the results. At current rates, I would also expect minimal impact to revenue after hedging in Q2, and that’s factored into the Q2 guidance that I provided. And as we learn more about rates going forward for Q3 and Q4, we will let you know about any potential impact at that time. And as is customary for us, we are not going to update our annual targets at this time. The second piece is the balance sheet. The deferred revenue balances, the balance on the balance sheet is protected. However, again, in a rate declining environment since deferred revenue balances are made up of activity from as much as a year ago, the deferred revenue that comes off the balance sheet is at a higher rate than the new deferred revenue going onto the balance sheet. So the rate drop does have an impact to net new increases to deferred revenue. And then the last piece is ARR. So as you know, we report ARR in constant currency from the rate at the start of the year. And as you know, we revalued our year ending ‘14 ARR based on December '14 rates. But when you compare Q1 of '15 net new ARR to Q1 of '14 net new ARR, it’s a similar situation to deferred where in the '14 net new ARR, you would be building that up at a higher rate and that lowers the reported year-over-year growth. So it’s likely had a mid-single-digit impact on year-over-year net new ARR growth in Digital Media. So that’s kind of a mouthful, but I know there’s going to be a lot of questions on FX and hopefully that clears it up.
Brad Zelnick: No. That’s very helpful. And just on the full year targets and I’ll leave it here after this. The 5.9 million Creative subs and I know that’s only one piece of a much bigger story, but everybody seems to focus on it, that still stands and you still feel confident in that for the year?
MarkGarrett: So again, Brad, we customarily do not update annual guidance after Q1 and we’re not doing that today. But as Shantanu said, we’re happy with how we did in Q1 and it’s consistent with our expectations.
Brad Zelnick: Thank you so much.
Shantanu Narayen: Next question please.
Operator: And your next question comes from the line of Brent Thill from UBS. Your line is now open.
Brent Thill: Hi. Good afternoon. On the marketing side, number continues to do very well. I’m just curious when you look at the percentage of the revenue that is perpetual now versus recurring. Can you just give us a sense of what you're seeing going forward in that line? And I know it was seasonal in Q1 when you called for that and anything else we should think about as we’re modeling that up for the year.
MarkGarrett: Yes. Brent, as we said, towards the end of last year, we’ve kind of gotten to the point where the perpetual number is pretty small. I mean, it’s going to bounce around a little bit based on customer preference, but it's not. It's not a material number anymore and it's not going to swing the revenue that much anymore. So we feel good about the fact that that has transitions into a more ratable model now.
Brent Thill: Okay. And the follow-up for Shantanu on Document Cloud, I know there is pieces of this that you had and somewhat of a re-brand. Can you just give us a sense of maybe what’s new at a high level and what opportunity you think this can unlock? Now, it seems that you’re a more focused on this than perhaps in the past.
Shantanu Narayen: Sure, Brent. I mean, I think the fundamental issue is that the need to manage documents and document workflows is actually increasing rather than decreasing. And we have this incredible franchise when we think about both the reader, distribution that we have across virtually every device, the fact that we've distributed over a billion of them. And the fact that PDF has been accepted as the de facto standard for documents. So when you put that together and you consider the massive shift that's happening from paper to digital, we just think we have a really unique opportunity to convert paper documents to this high-quality PDF that you can edit, you can auto populate, you can fill forms, you can send for signatures and more. And so what we announced today was as part of the Document Cloud Acrobat DC, which is a completely re-imagined user experience far more simple, far more intuitive, we've aligned all of the product offerings from Acrobat to reader to standard, all associated with Acrobat DC. And then the other thing we've done is a huge focus on mobility, so we’ve designed Acrobat DC to be touch enabled and work seamlessly across devices. These signatures are now part of every subscription of Acrobat DC and we think that integrating documents across other systems like Office 365 as well as other storage providers we've added significant more value. And so we just feel like this is a large opportunity, it’s ours to win. And I think when you think about both, what's being used within the Document Cloud, as well as I mentioned earlier, Acrobat within the Creative Cloud, it just continues to be an opportunity that we focus on. So as we think about the year for Acrobat, we think we will keep revenue relatively consistent with last year, but we will grow ARR quite a bit. And so I think we're excited about that.
Brent Thill: Thank you.
Operator: And your next question comes from the line of Steve Ashley for Robert W. Baird. Your line is now open.
Steve Ashley: Great. I just had maybe my first question on the Marketing Cloud. Just wondering if you had any color around bookings growth you’re seeing there?
Shantanu Narayen: Yeah. Steve, I think, the bookings growth again were in line with targets that we have. As you know, you were there at Summit. Summit was an incredibly successful event for us. It’s -- as we said in the prepared remarks, the largest pipeline growing event for us. I think, we continue to grow our lead in that particular category and our recognized does that. So we’re pleased with what we did in Q1 and continue to be really bullish about the opportunity that Adobe has in the marketing space.
Steve Ashley: Yeah. One other things you guys talked about at the Marketing Event was some of the core services in the Marketing Cloud included assets. And I’m just wondering in terms of the long-term strategy, is there a plan or hope to maybe link that to the Creative Cloud and if there is maybe you could talk about that a little bit?
Shantanu Narayen: Sure. I think the core services that you’re alluding to Steve, for the benefit of others on the call, I mean, there are things like what we've introduced with audience manager, the ability to run both campaigns and to have them specific to customer segments, whether you're doing that for your media span, whether you're doing that associated with understanding analytics or targeted campaigns and converting them to paying customers. With respect to the integration of the Clouds and today I’ll say, three Clouds. One of the things that we continue to view is Asset Management is the core of what you can do between Creative Cloud and Marketing Cloud. You saw number of customers talk about how the velocity of content creation is increasing and how the fact that we have integrated, the Clouds help them with that. So the core service I would say are the Asset Management service that's part of the Marketing Cloud, the ability to run campaigns and overtime you can also look at the audience segmentation. The other thing, I think, we showed at Summit was the ability to look at an asset as part of the sneak and understand how effective the usage of that asset was creative asset across all campaign. So I think that also give some indication of the innovation that we’re doing in this space.
Steve Ashley: Great. Thanks.
Operator: And your next question comes from the line of Brian Wieser at Pivotal Research. Your line is now open.
Brian Wieser: Yeah. Thanks for taking the questions. First, I was wondering if you can update us on the backlog for the overall business and separately, I was wondering if there’s any characterizations you can offer on the numbers of customers you have in the Marketing Cloud alone?
MarkGarrett: Hi. It’s Mark. So on unbilled, we only disclose that number with the K at the end of each fiscal year. So, obviously, we would expect that to keep growing, but we don't disclose the number other than at the K.
Shantanu Narayen: And Brian, with respect to the number of Marketing Clouds customers, they are in the thousands. I think the focus on those customers as you know is both with new logo addition, as well as with increased upsell of our existing solutions, but we don't have an update to that number. It is clearly in the thousands and growing well.
Brian Wieser: Okay. Great. And for me just one brief question around Nielsen and your relationship there, just wondering if you could update us on when you expect to see product in the market and any current commentary on relationships, evolution of that product?
Shantanu Narayen: Yeah. Brian, the rational for the partnership that we announced was that, every single advertiser and publisher would like to see consistent cross domain understanding of customers. And since we are clearly the leaders of what’s happening in web analytics and Nielsen is a leader of what’s happening on TV, providing a consistent demographic of who’s viewing what content across what device is something that the two of us can uniquely provide. We are working together. We don’t have an update on exactly when that’s going to be in market. But it’s been received well by publishers and advertisers because they do want that currency to cut across multiple TV screens, multiple screens.
Brian Wieser: Great. All right. Thank you very much.
Operator: And your next question comes from the line of Brendan Barnicle with Pacific Crest Securities. Your line is now open.
Brendan Barnicle: Thanks so much Mark. In your prepared remarks you mentioned that blend in AR -- blended ARPU across Creative Cloud offerings declines slightly as a result of mix. We’ve seen that for a while now as you’ve had individual product sales. When do you think that starts to bottom out? Are you guys modeling a point where that bottoms out?
Mark Garrett: Yeah. Actually it’s come down this quarter less than it has in recent quarters. So it was a much smaller decline this quarter. So it is conceivable that we are starting to see that now actually.
Shantanu Narayen: Yeah. When we look at it, maybe I’ll just add to that. We found the ARPU very healthy in the quarter. The thing to remember again is the steady state of the creative business for sure what we had was both a mix between the full units as well as individual point units. And I think we’ve stated in the past that if you consider it from a revenue point of view, it was approximately a 70-30 towards the suites. And if you consider it from a units’ point of view is 50-50. And when we rolled out the Creative Cloud, as you know we rolled out the Creative Cloud complete first and then added offerings such as the individual lap offering for team as well as the CCPP offering. And so all of this is happening in line with our expectations. We are increasing the market for both of those, but the revenue that we see today for Creative Cloud complete as a percentage of the total revenue is higher than what it was with the creative suite offerings. So things are playing out in line with our expectations.
Brendan Barnicle: And Shantanu, at the marketing companies, is it clear you are seeing bigger deals and bigger RFEs. Do you have any commentary of what you seeing on a sort of ARPU over Marketing Cloud side of business?
Shantanu Narayen: Well we don't use the word ARPU there. But in terms of the large deals and the number of transactions greater than $500,000 or $1 million we don't have an update right now. Actually Brad had some data that he put in that datasheet so that does reflect the progress that we are making in multi-solution selling. We are not updating that today over and above what Brad described at the marketing summit, Brendan.
Mark Garrett: And just for reference those are in the slides on our IR site, there's a reference to the summit slides from last week that you can access that information at.
Brendan Barnicle: And then just one last product question Shantanu on the document cloud, I was wondering what you guys are seeing with EchoSign and changes in the competitive landscape there? Thanks. That’s it for me.
Shantanu Narayen: Well, I think with respect to signatures, the demand for signatures the organic demand for signatures and making that paper based workflow move digital. I think we are seeing tremendous demand for that. I think there are a couple of players in that market. I think today's announcement allows us to enable every reader on every device to start to participate in the electronic signature workflow, which we think will be a jumpstart both for us as well as other players in that market. It's going to be a big market and it's going to take years by the time we get all of the approval. So I think everybody is going to see a significant amount of growth. And there are other competitors as you point out. But we really like what footprint we have right now and the offering that we have in the market.
Brendan Barnicle: Great. Thanks guys.
Operator: And your next question comes from the line of Mark Moerdler at Bernstein. Your line is now open.
Mark Moerdler: Thanks. This is Mark Moerdler. So quick questions, do you believe the FX has had any impact on subscriber’s adoption in any of these regions. Do you think you’ve seen anything slower in terms of the mix of subscribers? And was the FX itself a larger impact on creative than other divisions? Then I have got a quick follow-up.
Mark Garrett: I mean the net to both of those questions is no. I don't think it has any impact on customer adoption and the FX is going to be skewed towards where revenue is by currency and that's not going to be much different for creative versus other pieces of the business really.
Shantanu Narayen: Mark, just to, again clarify, both all of the individual offerings, team continued to do well in the quarter. We had a strong quarter for team, as it related to Creative Cloud subscriptions. And again, I do want to repeat that the Acrobat subscriptions in the quarter, virtually every one of them went against the Document Cloud ARR as opposed to the Creative ARR but it is reflected in the Digital Media ARR.
Mark Moerdler: So is that going to then -- is that a long-term impact? In other words, are we going to see more of those subscribers float over? I know you’ve guided to a number in terms of subscribers for the year, but overall should we see that as a long-term gain that those pick ups are going to occur on the document side?
Shantanu Narayen: No, I think we were experimenting this time, as it related to the Document Cloud launch. I think we continue to think that there's a tremendous headroom in the Creative Cloud install base that we will continue to drive towards. And we remain confident about the long-term subscriber numbers as well, that we will continue to drive in Creative. But I think, this time we wanted to reflect that you see that strength more on the Document ARR than the creative ARR.
Mark Garrett: And that mix -- that mix, Mark, would’ve been factored into the 5.9 when we guided.
Mark Moerdler: Okay. And one another quick one, does the Document Cloud drive any change in revenue recognition license versus subscription?
Shantanu Narayen: Well, we certainly have subscription as an offering right now. That subscription offering for Acrobat has been there for a while. We continue to believe that as you -- the migration will not happen the way the Creative Cloud migration happened. So, we've said that revenue we expect to be in the Document Cloud business relatively flat for the year but ARR to grow well.
Mark Moerdler: Thank you very much.
Operator: And your next question comes from Jay Vleeschhouwer of Griffin Securities. Your line is now open.
Jay Vleeschhouwer: Thanks. Good evening. Mark, question for you first. Regarding the revenue profile in parts of your business, particularly marketing cloud because that is -- you have a mix in some cases of platform access revenues and then you have a large mix of course of usage based or transactional based revenue. Could you talk about how you think that mix might evolve both in the marketing cloud side of the business and perhaps in the other sides of the business, Creative Cloud or doc services in terms of platform and usage based revenue and then a follow-up? Thanks.
Mark Garrett: If I understand you correctly, Jay, I mean for the most part, it’s all usage based. I mean, some of it is specifically tied to usage numbers every single quarter. Some of it is based on an annual usage number. But for the most part, it is usage-based revenue kind of oriented.
Jay Vleeschhouwer: Okay. Okay. On the Creative Cloud subs add number, two things you mentioned last week at Summit that you have 5 million trial users signed up from your player downloads. How are you thinking about converting those to paying subscribers? And in terms of another potentially very long source of subscriber add, particularly for DSLR. How are you thinking about converting the old element space to subscription? I would think that the package full of elements would have over the years generated several millions at least of nominal users, so how are you thinking about converting them?
Shantanu Narayen: It’s a good question, Jay. I think both the millions of elements customers that we have, as well as the over 30 million Acrobat units that are out there, both represent an install base that we will consider moving to the appropriate subscription offering. So more specifically to your question about elements, the elements base, certainly we believe a better migration path for them moving forward is the Creative Cloud Photography. Both the elements base, as well as the trial users, we have a very carefully constructed campaign to continue to your target them and have them move over from being trial users to being paid subscribers of the Creative Cloud and we will continue to execute against that opportunity.
Jay Vleeschhouwer: All right. Just one more if I may, Mark, your Q1 cash flow was relatively low or lower than Q1 last year anyway? In spite of that just given the revenue staffing of various subscription businesses and margin expansion that you will likely see this year, were there the reason that your operating cash flow should probably meet or beat $2 billion for fiscal ’15?
Mark Garrett: So I am not going to guide to a total number for the year, Jay. But suffice it to say that this is a low quarter coming off of Q4 with all the payments that we make in Q1 and it’s going to back very nicely through the rest of the year.
Jay Vleeschhouwer: Thanks a lot.
Operator: And your next question comes from line of Jennifer Lowe at Morgan Stanley. Your line is now open.
Jennifer Lowe: Great. Thank you. I wanted to touch quickly on the reseller channel and in particularly in Q3 there was little bit of air pocket there given the pulling out of perpetual but seemed like that came back pretty strongly in Q4? Do you think the reseller channel is now kind of stable where you like to see it at this point?
Shantanu Narayen: Yeah. I feel good, Jennifer, about how the reseller channel is also focused on the Creative Cloud opportunity and how they're executing against it. They are certainly targeting the installed base and helping them migrate from Creative Suite to Creative Cloud. So we feel good about it around the world.
Jennifer Lowe: Great. And then just one for, Mark, this is the second quarter in a row, where expense growth -- operating expense growth has been less than a percent, which is pretty impressive given, especially how you are investing in the Marketing Cloud? I guess, two questions, one is, how much of that, or maybe really just one question, how much of that is upward figure proactively making trading costs versus something more tactical like FX?
Mark Garrett: It’s not FX. We manage the cost structure the company very, very carefully. We've always been very good at that frankly. We've got the money we need to invest in the business. We’ve got the sales capacity we need to invest in the Digital Marketing business. That OpEx number, you are going to see it start to grow. Now as we go through the year, don't forget when you come off of Q4, there's a lot of additional comp expense for sales commissions and things that you have in Q4 that you don't have in Q1. So that's a big reason for what you see between Q4, Q1. But it will ramp as we go through the rest of the year and you'll see that based on the guidance for the year that we had provided.
Jennifer Lowe: Great. Thank you.
Operator: And your next question comes from the line of Samad Samana from FBR Capital Markets. Your line is now open.
Samad Samana: Hi. Thanks for taking my questions. I wanted to touch base on Fotolia with the acquisition that closed? Could you remind us how many subscribers they have and could you share any data on the overlap between their subscriber base and who is using the Creative Cloud already?
Shantanu Narayen: We have not provided their subscriber base numbers. What we have provided is the overall market available opportunities. So, we've said, when you consider all of services, it’s approximately a $4 billion. We have also shared everything over 90% of the people who contribute stock content, use our tools and over 80% of those who buy that stock content use various tools. And strategically, what you should think about it is that the integration is on track. We will continue to offer as a standalone service the two models that Fotolia had namely on-demand model as well as a subscription model for stock photos as well as we will introduce new offerings, which includes Creative Cloud and stock offering. So that's conceptually how you should think about it. When it's introduced into the market, we’ll certainly provide more details.
Samad Samana: Okay. And if I could ask one more on the Creative Cloud side of the business. Historically, you provided a mix between point products and full suite numbers. You didn’t break that mix out this quarter. Could you give us an idea if there is any type of meaningful change directionally between the mix that you’d seen over the last few quarters and this quarter and that’s my last question?
Mark Garrett: It’s Mark. It’s 59% full.
Samad Samana: Okay. Great. Thanks for that.
Operator: And your next question comes from the line of Walter Pritchard at Citi. Your line is now open.
Walter Pritchard: Hi. Thanks. Mark, I’m just wondering as we think about seasonality this year on the subscriber side. You put the line in the mark that you would expect subscribers to grow each quarter. It seem like did you step up a meaningful year -- more meaningfully during some of these quarter at $5.9 million and I’m wondering with this experimentation in Q1 that it sounds like it’s about to continue in Q2. Should we expect that there is sort of step back up from Q1 and Q2 with some of the Acrobat stuff coming back into the Creative Cloud market?
Mark Garrett: So yes, there will be a step-up from Q1 to Q2. It wouldn’t just be from Acrobat. It would be a natural step-up as we march towards that $5.9 million that we had guided to but definitely a step-up from Q1 and Q2.
Shantanu Narayen: And Walter, the other thing as you are aware is as we continue to rollout the innovation roadmap that also continues to get people who are on CS6 of prior versions moved over to the Creative Cloud. So that will continue as well.
Walter Pritchard: And I have just one follow-up. Last year, you had a sort of discrete events with the major launch midyear and then in Q3, you saw basically cleared lot of the point products, the package products and they started selling. That seemed like that was a bit of a shocking arm for the subscribers’ growth numbers during the year. As we looks at this year, is there anything like that we should be aware of that would impact our seasonality other than from the fact that you addressed there?
Mark Garrett: We’re not announcing products but, Walter, I think to the question that you asked you can expect that we’re going to be coming out with a fair amount of innovation. And if you look at our historical delivery, delivering something again in a few months would be consistent with what we've done last year, yes.
Walter Pritchard: Okay. Thanks very much.
Mike Saviage: Operator, while we take -- operator, we’ll take two more questions.
Operator: Thank you. Your next question comes from Matt Williams at Evercore ISI. Your line is now open.
Matt Williams: Hi guys, sitting in for Kirk Materne. Thanks for taking the question. Just maybe if you could provide a little bit of color on sort of how you are thinking about the reacceleration of Marketing Cloud revenues throughout the remainder of the year given that you are lapping the anniversary of deferring more of the experienced manager campaign revenue?
Mark Garrett: Yeah. I mean, we had -- as you know, we had guided to 25% revenue growth for the year. We start out the year here with 17%. It definitely ramps the growth from a year-over-year perspective. We will ramp pretty much every quarter as we get up to Q4 to get to that 25%.
Matt Williams: Okay, great. And I mean this but did you guys give up booking growth rate for the Marketing Cloud for quarter?
Mark Garrett: Now we did not. We don't disclose the bookings growth rates every quarter. We just said -- Shantanu had mentioned that we had a good quarter.
Matt Williams: Okay. Fair enough. Thanks for taking the questions.
Operator: And your last question comes from the line of Derrick Wood at Susquehanna International Group. Your line is now open.
Derrick Wood: Thanks. Last week, you guys talked about the TAM for the photography market being significantly higher than the traditional creative products and now you’ve got a more strategic cloud focus on document side. So have you guys done the work to kind of update the total user TAM and the Digital Media segment?
Shantanu Narayen: We certainly have a lot of data on what's happened with the Acrobat segment as well. And I think to Jay’s question earlier, as well in terms of what the available opportunity is for us to attract customers who previously brought elements that is -- I think at max, you can expect us to continue to give you an update on what's available as a total available market. We are not certainly providing that level of detail on our earnings call, Derrick.
Mark Garrett: And Derrick, you could also watch the slides from the past that have also disclosed some of that, so I’ll be happy to follow-up later on where we will discuss sort of the Document Services TAM and related addressable markets.
Derrick Wood: Okay. And then on the -- you guys mentioned that ETLA pipelines are building nicely and I suspect ETLAs were seasonally softer in Q1, as is typical. Can you just remind us as what kind of seasonality you typically see throughout the year and then, whether do you think the Document Cloud will help drive some kind of incremental strength in the size of ETLA?
Shantanu Narayen: So, ETLA is typically, as you’ve seen historically, Q4 tends to be a seasonally very strong quarter. Q1 does, as you point out, tend to be a weak quarter and then it starts to build up and so we expect to -- as Mark also said in the prepared remarks see a sequential increase. And to your other question, there is no doubt in our mind that what we're seeing is, as we have multiple offerings that are targeting an enterprise, our ability to sell higher into the organization and sell more complete solutions is increasing. And from that point of view, the availability of the document offerings will only help the fact that we have creative offerings, as well as we have marketing offering. So, I think all of those with the announcement of the Document Cloud should be positive.
Derrick Wood: All right. Thank you.
Shantanu Narayen: Since that's a last question, maybe I will just recap and say, we're proud of what we accomplished in Q1 and the strong start that we had to fiscal ‘15. It was a strong revenue, as well as EPS quarter. We drove strong Digital Media ARR and had a very successful Summit that we organized in Utah. We announced the new Document Cloud this morning and the reception to that has also been extremely positive. Fotolia integration is on track. We will make available the Document Cloud to our customers also this quarter. And so we feel like we're in great shape and we remain focused on driving both product innovation, as well as strong financial results for the rest of fiscal ‘15 as well as beyond. Thank you for joining us today.
Mike Saviage: And this concludes our call.